Operator: Thank you for standing by ladies and gentlemen, and welcome to Safe Bulkers conference call to discuss financial results for the second quarter 2012. Today we have with us from Safe Bulkers Chairman and Chief Executive Officer Polys Hajioannou, President Loukas Barmparis and Chief Financial Officer Konstantinos Adamopoulos. [Operator Instructions] Following this conference call if you need any further information on the conference call or on the presentation please contact Mafio Avanante at Capital, Inc. at 212-661-7566. I must advise you that this conference is being recorded today, Tuesday, August 7, 2012. Before we begin please note that this presentation contains forward-looking statements as defined in Section 27-A of the Securities Act of 1933 as a mandate, and Section 21E of the Securities Exchange Act of 1934 as a mandate. Concerning future events the company’s growth strategy and measures to implement that strategy including expected vessel acquisitions and entering into further time charters. Words such as expect, intend, plans, beliefs, anticipates, hopes, estimates and variations of such words and similar expressions are intended to identify forward-looking statements. Although the company believes the expectations reflected in such forward-looking statements are reasonable, no assurance can be given that such expectations will prove to have been correct. These statements involve known and unknown risks and are based upon a number of assumptions and estimates which are inherently subject to significant uncertainties, and contingencies, many of which are beyond the control of the company. Actual results may differ materially from those expressed or implied by such forward-looking statements. Factors that could cause actual results to differ materially include but are not limited to changes in the demand for dry bulk vessels, competitive factors in the market in which the company operates, risks associated with operations outside the United States and other factors listed from time to time in the company’s filings with the Securities and Exchange Commission. The company expressly disclaims any obligations or undertaking to release publicly any updates or revisions to any forward-looking statements contained herein to reflect any change in the company’s expectations with respect to any change in events, conditions or circumstances on which any statement is based. Now we pass the floor to Dr. Barmparis. Please go ahead sir.
Loukas Barmparis: Good morning, I'm Loukas Barmparis, president of Safe Bulkers. Welcome to our conference call and webcast to discuss the financial results for the second quarter of 2012, which were announced yesterday after the close of the market in New York. Before we present them we will discuss that information in relation to our industry and to our company. Safe Bulkers is a premier dry bulk shipping company, mainly transporting cargo such as coal, grain, iron ore and other dry bulk commodities. In slide four, we present our current fleet and our order book. Currently Safe Bulkers owns 21 high specification vessels comprising of 5 Panamaxes, 4 Kamsarmaxes, 10 Post-Panamaxes and 2 Capes. We have a contracted order book of eight vessels from top quality shipyards in Japan and China comprising of 3 Panamaxes, 2 Kamsarmaxes, 2 Post-Panamaxes and 2 on Capes to be delivered through 2014. We currently own one of the youngest, modern and high-quality fleets in the industry with an average age of 4.2 years as of July 31st, 2012. In slide 5 we provide a background information for the company. We think our [inaudible] in our long history predecessor since 1958, we have experienced many shipping cycles, management investing in shipping activities show you through Safe Bulkers, cash is fully aligned with our public shareholders. Management has adopted [inaudible] approach resulting in operational excellence. Company’s policies are consistent and well adapted to market conditions. On slide six we present average 40C [ph] Baltic cape and Baltic Panamax index. Capital market was challenging during the first half of 2012, affecting financial performance of main companies and asset values. Middle sized vessels such as Panamax and Kamsarmaxes have been trading relatively better than Cape sized vessels which were traded in the region of 8000. This is mainly due to the wider range of trading areas and transportable cargos of this class. For example Panamaxes have been benefited from the increased trading at [inaudible] during the portion of the past six months due to the seasonal grain activity from South America. However, the unprecedented growth in South America has been a barrier in further growth of grain trading. Overall, presently, Panamax vessels are trading in the region of 7000 lower than the past 12 months average trade which was 11000 and considerably lower than the 10 years average which is about 27,800. On the other hand, certain issues dominating that on our market and temporary easing of construction activity have pushed the Capes market at lower level as well below the historical averages, but in many cases even lower than their operating expenses. At this point, we remind you that all our Capes chartered out, chartered at comfortable levels. Main reason for the current outlook of the market is the excess supply of vessels which is expected to increase in few of the big order book going forward in 2012 and in lesser extent in 2013. In slide 7, we provide information about order book. As of the end of June 2012 the existing fleet for Panamax was 167 million deadweight tonnage, the order book is reported to be 27 million for the remaining of 2012 and substantially smaller 21 million for 2013 and 6 million for 2014. We have just similar situation for Capes, the existing fleet was about 272 million deadweight tonnage as of the end of last quarter. The order book is reported to be above 29 million for the remaining of 2012, 19 million for 2015 and 6 million for 2014. On the other hand, our supply has been eased by the slippage on deliveries which according to market analysts was 30% for 2010 and 2011, and is expected to exceed 20% for 2012. One of the reasons is that financing of new builds has become more difficult as main financial situations have withdrawn from the sector and (indiscernible) have considerably been increased. Further to this scrapping activity which is enforced in this low freight rate environment despite the dropping scrap values will contribute in lowering the net fleet increase. We presently on the right two graphs we represent, the one showing the age distribution and the other the scrapping activity. 14% of the total dry bulk fleet is over 31 years old and could be possibly eliminated from the total fleet in the years to come. During the first half of 2012, the scrapping activity was at least 17.6 million deadweight tons which in annualized terms is expected to exceed the record scrapping volume of 23.8 million in 2011. In Slide 8, on the top, we present a graph with the utilization of the dry bulk fleet in relation to the demand and supply of vessels. As it is shown, demand in terms of the ton-mile is continuously growing and is expected to do so for the upcoming years. On the other hand, the excessive growth of the fleet is skipping the utilization rate low, and therefore the freight rate depressed. Though if we take into account the adjustment for optimal speed, slow steaming took [inaudible]. It is eventually shown that the utilization rate is relatively better and is expected to grow going forward providing a positive signal for the market. The demand for the dry cargo ship going forward as shown on the graph on the bottom will be growing sustainably. In some cases as in the case of iron ore is expected to increase substantially, hopefully counterbalancing global supply of vessels. Moving on to slide nine. Through these years in the shipping market we have adopted certain policies and strategies. We have been very carefully managing our assets trying to impress the lower parts of the business cycle, in new buildings, expanding and renewing our fleet with modern, fuel efficient, shallow-drafted vessels. With our consistent chartering policy employing our vessels both in [inaudible] other market always seeking to compact business with established equitable customers maximizing our profits, minimizing our counterparty risk and maintaining future cash flow visibility. We have been consistent with our operation policy to maintain a modern, flexible, and fuel efficient fleet resulting in low daily operating expenses and high utilization ratio. With our focus on our financing policy resulting to a strong balance sheet and liquidity and showing financial flexibility possibly to invest in the lower part of the cycle and comfortable debt in compliance with financial covenants. Our dividend policy is prudent by paying out a portion of our free cash flows to reward our investors while maintaining the remaining portion for future expansion. In the next slide, number 10, we saw our fleet expansion which by the year 2014 is expected to reach 29 vessels. We intend to mainly build sister vessels which are fuel efficient and can carry more cargo in the same draft thus seeking to be ahead of our competition. Going to next slide 11. As of July 31, 2012, the charter coverage for our fleet including existing fleet with new builds was 89% of anticipated ownership days for 2012, 59% of anticipated ownership days for 2013, and 30% of anticipated ownership days in 2014. We seek to employ our vessels in period time charters in order to have visibility of our future cash flows while we maintain certain place in the spot market to have the flexibility that spot market offers in low charter periods and depth side potential when market improves. Over the years we have established long term relations with some of the world’s largest consumers of marine dry bulk transportation services in the shipping industry which are presented in slide 12. In that way we are trying to minimize and control the third party risk. At the same time at the periods of low market such as the current market period is, we cautiously monitor market conditions. In slide 13 we evaluate the performance of our chartering policy against the spot market which I hope perform most of the times. In slide 14, we show daily operating expenses and management fees. Compared to the industry average which is reported at 8000 approximately we run lean operations contributing to an increase of Safe Bulker’s net income. In slide 15 on the bottom graph we present the net debt per vessel which currently is enjoyed at over 60 million per existing vessel. We maintain low interest expense that’s presented on the top graph while we allocate our debt per barging level. Our intention is to finance our new building program from equity and debt while we maintain a comfortable debt to asset ratio and comply with our financial covenants. In slide 16, we show our liquidity and our ability to finance our capital expense requirements. As of July 31, 2012 our liquidity was $240.8 million while our capital expense requirements were $186.6 million. The analysis show CapEx per year and our liquidity per component is presented in this figure. We have not included our operational cash flows which is supported by our contracted period time status. We also have the ability to raise additional indebtedness against the seven unencumbered new build vessels upon their delivery providing us with further financial flexibility. The excess cash in low chartered markets can be used either for debt repayments in order to deliver to our balance sheet both to be used as equity for further expansion when asset values are low. In slide 17 we will present historic quarterly earnings per share in our quarterly dividends. Our board has declared a dividend amount of $0.15 per share payable on August 31st. Our Chief Financial Officer Konstantinos Adamapoulos will now present in detail our financial results.
Konstantinos Adamopoulos: Thank you Loukas and good morning to all. Slide 18 illustrates a comparison of selected three month financial key points of other slow months for the quarter ended June 30, 2012, and respective figure of last year. For the second quarter of 2012, net revenues increased by 14% to $47 million from $41.2 million in the respective period of last year. Net income for the second quarter of 2012 was $21.5 million, an increase of 13% from net income of $19.1 million in the same period in 2011. Whereas adjusted net income for the same quarter of 2012 was $23.7 million as opposed to $25.5 million during the same period in 2011. The increase in net income is mainly attributed to the following factors. Net revenue of $47 million compared to $41.2 million, vessel running expenses of $8.4 million compared to $6.5 million, loss of derivatives of $2.1 million compared to $6.1 million for the same period in 2011. Mortgage expenses of $2.3 million compared to $800,000, depreciation of $7.9 million compared to $5.6 million for the relevant quarters of 2012 and 2011 respectively. EBITDA was $31.6 million for the second quarter of 2012, an increase of 24% from $25.5 million in respective period last year. Adjusted EBITDA was $33.7 million for the second quarter of 2012, an increase of 6% from $31.9 million in the same period in 2011. Earnings per share and adjusted earnings per share for the second quarter of 2012 were $0.20 and $0.31 respectively, calculated on the weighted average number of 76.7 million shares compared to $0.27 and $0.36 in the second quarter of 2011, calculated on a weighted average number of 70.1 million shares. For definition and reconsolidation of EBITDA and adjusted net income, EPS and EBITDA and adjusted EPS, please refer to slide 21. Slide 19 presents a summary of our key financial figures during the second quarter of 2012 as compared to the same period in 2011. Our net revenue increased by 14% to $47 million from $41.2 million. Our adjusted net income for the second quarter of 2012 decreased by 7% to $23.7 million from $25.5 million during the same period of last year. Our adjusted EBITDA for the second quarter of 2012 increased by 6% to $33.7 million from $31.9 million during the same period in 2011. Adjusted EPS for the second quarter of 2012 of $0.31, compared to $0.36 in the second quarter of 2011, calculated respectively on a volume per average number of shares of $76.7 million and $70.1 million. In the second table in the bottom of the slide 19, we see that the total debt as of 30th June 2012 has decreased by 1%, amounting to $479.7 million as compared to $484.3 million as of December last year. The result of our financial performance in clearly demonstrated by the company’s consistency in its dividend policy, maintaining a prudent and meaningful data policy throughout the last crisis contrary to the majority of industry leaders. Moving on to slide 20, we present the operating highlights for the second quarter of 2012 and 2011. As of 30th June 2012, we owned and operated 21 vessels and we achieved the utilization rate of 985 % compared to 15 vessels and utilization rate of 99.1% during the same period of last year. The average daily time charter equivalent for a vessel for 2012 was $24,168 compared to $27,921 for the same period of last year. For the second quarter of 2012, daily running expenses slightly increased by 1% to $4526 compared to $4479 during the same period of last year. On slide 21, we present the reconciliation of adjusted net income, EPS and the EBITDA from net income. If you turn to slide 22, the company had declared for the second quarter of 2012 cash dividend of 15% per common share payable on or about August 31st of 2012 to shareholders of record at the close of trading on August 24th. This is the 17th consecutive quarterly cash dividend since our company’s IPO more than three years ago. Turning our presentation to slide 23, although market conditions at the moment are not rosy, we stand prepared as a long-term oriented company. We have been achieving for more than 50 years, we know the industry and we believe in this industry. We actively managed our order book of fleet. We intend to continue to opportunistically expand and renew our fleet by placing new build orders where we can negotiate attractive terms for CPRG [ph] or high quality vessels. Our strategy has been to focus on ordering fuel efficient and shallow-draft new big vessels that comply with the latest maritime and environmental regulations and that are based on the most recent design developments which offer us competitive operational advantages as well as lower running costs compared to second hand vessels. As a result of our track-record and reputation in the industry we believe that we have developed strong long-term relationships with shipyards in Japan and China. [Inaudible] order book and fleet may at times lead us to opportunistically terminate or delay contract to our dry vessels or to sell vessels when we believe that there are financial or operational advantages in doing so which allow us to allocate resources more productively. Our liquidity and strong balance sheet provide us with financial flexibility. At the same time, we followed a prudent dividend policy for the long-term benefit of all our stockholders in our company. Our active management team is fully aligned with public shareholder demanding and optimizing strategic plans. You may find our contact details in the slide 24. Thank you all for listening and we are now ready to accept and reply to any questions that you might have.
Operator: Thank you very much indeed. We’ll now begin the question-and-answer session. [Operator Instructions] Your first question from Clarksons Capital and that comes from Urs Dur. Please ask your question.
Urs Dur – Clarksons Capital Markets: Good morning, good afternoon everybody.
Loukas Barmparis: Good afternoon.
Urs Dur – Clarksons Capital Markets: Thank you very much for the call today. In the interest of your new builds, what kind of interests are you seeing in possible other new projects down the road, you seem to be one of the healthier companies that can order ships at this point in time. Would you be ordering more ships and are there sufficient term charters out there for you to do so at this time or is this something you more want to wait on.
Polys Hajioannou: Yes, good morning to you, Polys speaking.
Urs Dur – Clarksons Capital Markets: Good morning.
Polys Hajioannou: I mean there is plenty of availability from shipyards both for new ships, I don’t think we should rush at this point. We should be waiting to see I think the new building prices if it will further come down in the short term at least. And with regards to time charter availability it’s very limited in what is available right now. Some charters are checking for deliveries. But the rates they are talking is not something that no one would be interested to rush and order a ship against the time charter. So the criterion now is to watch and we will find a very cheap ship from the shipyard.
Urs Dur – Clarksons Capital Markets: Right. But you are not proposing at this time to divert from your broader policy to have longer term contracts against your assets in the public company, correct? And you want to stick to this strategy and maintain the sustainable dividend.
Polys Hajioannou: Yes. And the thing is we want to have a meaningful employment in order to fix the ship for 5 or 10 years. If it’s not meaningful I mean we will take advantage of certain point of the cycle of the lower new building price and we will wait a bit later to compute the time charter.
Urs Dur – Clarksons Capital Markets: Great. One question, just simply seeing it in other sectors, when the opportunity does come to have longer term charters, when the market is improving a bit, are there newer ship designs such as what we’re seeing in other ship classes, particularly product tankers that would improve the fuel efficiency of bulkers going forward, are those designs available?
Polys Hajioannou: Yes, new designs are coming out especially from Japan, but offering a lot of economy on the consumption. Everything will depend on how the oil price will develop in the future. If we see holding the current levels of $650 a ton or even going higher then these ships will be ones to work and then definitely all the ships will find it much more difficult to find employment. If oil price, a miracle happen, and it goes below $500 or $400 a ton, everything will change and all the ships could be worked out. But so long it’s $600 and above I think that new designs will be in demand.
Urs Dur – Clarksons Capital Markets: Excellent. Thank you very very much, I’ll speak soon.
Unverified Company Representative: Thank you.
Operator: Thank you, sir. Now from Citi you have a question from Christian Wetherbee. Please ask your question.
Christian Wetherbee – Citi: Thank you. Good morning guys.
Polys Hajioannou: Good morning.
Christian Wetherbee – Citi: Maybe just on the back of the question about new build prices policy, you’ve always given us some good color on what you kind of think, particularly the Panamax was slightly larger size, need to go, clearly some downside is coming. But how much further do you think new build prices do need to fall before it gets a little bit more interesting, seems like they are artificially high just on the back of that labor input costs of the yards, just curious of your thoughts there.
Loukas Barmparis: I think that it all depends on how the freight market will turn and you know, what financially will be available from the banks. So, so long as the freight market is low and the availability of finance is limited, I think yes, they are in a very difficult situation and they will – if we could see prices by the year another 10%, 15% lower. So I mean, yes, they are in [inaudible] situation. This is good of course, something else will not accept to build at a loss and they will reduce capacity. So this will be good for the market.
Christian Wetherbee – Citi: Sure, okay.
Loukas Barmparis: But ship prices should go further down.
Christian Wetherbee – Citi: Okay. And as far as – just switching on to your costs here, it seems like on the OpEx side things, your daily operating expenses were fairly low, a little bit below what we were looking for, and I think you did a good job managing the expenses there. How should we think about that as you roll forward to the rest of the year? Were there some timing issues that caused a slight sequential decline or is there other management issues that you are able to kind of keep control of as we move into the back half of the year?
Konstantinos Adamopoulos: Look, the operating expenses reflect not only our daily operations but also a couple of other issues. One is that we expend the dry docking costs. So wherever we have dry dockings you may see them increase. Also, well we have deliveries of vessels because we do the initial supplies the operating expenses also are influenced. So you may see such variability from quarter to quarter. However, we have been our best to maintain low operating expenses and lean operations. I think we have achieved till right now a very good result.
Christian Wetherbee – Citi: Okay. That makes sense. Your message on new builds continues to be fairly clear. I guess from my perspective if you were to see something come up, is there any reason to think that you might to enticed to enter the second hand market or there are just too much potentially kind of open slots coming in the next couple of months or even quarters that would keep you very much focused on the new build side of the order book?
Polys Hajioannou: Yeah look the second hand market, we have to buy a ship that is of the previous design and of the past technology, and not according to the specification we want to have on our ships. We want to have uniform specification among all the fleet and sister ships if possible. We are adjusting new buildings in order to achieve a low running expense which you just mentioned. So it’s not very convenient for us. I don’t exclude your ship but not convenient for us to go and start buying ships from the second hand market because they will not fit the pattern of the sister ships and the business model we are running here. We want to go for the next generation vessels and also one that will be delivered from Riyadh to replace our 10 year old ships or the ones that are becoming less attractive and less commercially viable, and let's say they have more running expenses. So we are focused on what we have been doing all these years, going for the new type of vessel.
Christian Wetherbee – Citi: Sure. And I guess the last question, you mentioned that obviously you look continuously whether or not you need to sell vessels or potentially delay or push out some of your new buildings. You have a couple of vessels that are getting towards that 10 year old range. You don’t have the contracts expiring for probably another several quarters at least on some of these, but that’s the way we should be thinking about it though is that as some of these older vessels reach 10 years old and maybe rolling off charters, those are the potential candidates for sale as we move forward. Is that the right way to think about it?
Polys Hajioannou: Very right. I think we have a past track record of doing the same thing. I think it worked in the past and we should be focused in following something that worked in the past. So I mean, you are very correct to assume this condition.
Christian Wetherbee – Citi: Okay. Thank you very much for the time. I appreciate it.
Operator: Thank you sir. Now your next question from Credit Suisse comes from Greg Lewis. Please ask your question.
Greg Lewis – Credit Suisse: Thank you and good afternoon. Poulos, I mean you clearly stated your strategy of looking to continue to enter the new building market from shipyard, I am assuming primarily Japanese and established Chinese shipyards. But how do you think about – and maybe provide a little bit of color on – clearly the market is oversupplied currently with too many vessels, and the decision to go and order new buildings whether they are delivered in late ’13, ’14 or maybe even early ’15, doesn’t that just perpetuate the oversupply in the dry bulk market? I'm just curious if you have any thoughts about that.
Konstantinos Adamopoulos: Yes I will tell you what is my thought on that. I think the market has been distorted in the past by people who are not ship owners ordering ships and doing new projects, and doctors and taxi drivers and things like that. So I mean we have been doing this job for the last 20 years going for the latest design to replace our older ships and going for more efficient and fuel efficient and better quality tonnage to be able to run with lower cost to our business model. So I mean it’s not our two ships we are ordering every year or three ships that’s going to keep the supply side, because at the end of the day I mean we are one of those that we start operating in the early 90s and much, much earlier than the market started having that habit of everybody going for a new ship. I think that the lack of finance and restrictions from the banks, and the fact that people have lots and lots of money will make other people stay with what they know to do better by incorporating all the tonnage which is less capital intensive and maybe they can make better return on this investment and not ordering on speculative basis. If you remember, the thing that kills the market, I remember a few owners, non-Greeks, [inaudible] 506 as prices were older or going higher and higher, and ordering that in one go, 15, 20 ships simply to resell it and get the 2 million or 3 million profit, and sell it to somebody else for this profit. Many of them, they succeed to do this, but what happened eventually when this is waiting for delivery in ’08 or ’09, okay, the buyer have made the deposit but he couldn’t perform on the rest of the contract. So it’s people like them that they will be doing the damage to the market, not somebody who is cautiously ordering couple of ships a year to follow his business policy as pure ship owner.
Greg Lewis – Credit Suisse: Okay, perfect. And then just in thinking about, I guess you have three vessels that are looking to roll off contracts in August Pantolus [ph] Builder, the Andreas Kay [ph] and the Venice Horizon. Actually should we sort of think about those vessels sort of being on short term charters for the next couple, for 30, 60, 90 day charters kind of rolling off at similar rates that they are earnings based on the press releases, is that sort of how we should think about that for the next – for the back half of Q3?
Polys Hajioannou: Yes, what we are doing on these ships are they are coming for charter, we are going for one voyage or two or three months short periods. They are currently having according to where they open something between 10,000, 11,000, 12,000 almost for a day, sometimes they go below 10,000, it depends on the location [inaudible]. Roughly I believe we put in today’s market environment achieved numbers around 10,000 on the spot market, we have to work with that and be satisfied with that, and expect something better in the third and fourth quarter. Quarter like something last year. Definitely you won’t see us going in fix of 9000 for one year on all ships, because I think it protect minimal downside, you’ve blocked the full upside. So from our side, we won’t be doing that.
Greg Lewis – Credit Suisse: Okay. Perfect. Thank you for the time.
Operator: Thank you. Now from Morgan Stanley you have a question from Fotis Giannakoulis. Please ask your question.
Fotis Giannakoulis – Morgan Stanley: Yes, good morning and thank you. I would like to ask about your outlook about the market, and give us your view about Panamax’s in the next couple of months given the fact that the grain trade is gone right now. And what will be the implication for other owners that they have weaker balance sheet. And especially if you see any risk for any of the dry bulk operators that could potentially lead to any default and cascade effects for the market?
Polys Hajioannou: Okay, many questions in one. So outlook – we expect a little bit of better fourth quarter like what happened last year, not to the extent of last year, but traditionally the fourth quarter is where the market is picking up and I was reading one of the reports maybe your report but usually the second half of the year is when – also I don’t know imports in China are higher than the first half, 90% of the time it happens like this. Also, usually new building delivery slowdown in the second half of the year, because on a dozen it won’t delivery of new building ship in October or November or December. So, it will be better if we expect to be in the – but not dramatically better. Now, for Panamax as I say 10,000, 11,000, 12,000 will be the spot market, you could achieve of course PPI could be 8 or 9 but with a modern ship and proper chartering, in-house chartering that we are handling here I believe we could be able to achieve $10,000 to $12,000 a day in the balance of this year. Now, what other owners are doing and weakened balance sheet et cetera, I cannot fully comment on that one how they will manage. I think most of them they are taking measures and they are reaching some sort of consensus with their banks, because at the end of the day why the bank to take ship from [inaudible] and people can know what their business is. Why to take it from them and give it to their manager to run on the banking. So I don’t expect that there would be many banks that would not support or be lenient towards these companies. So I believe that the big companies would be able to survive with proper support. Of course costs will increase because banks are demanding higher spreads to assist on such occasions. But generally I believe that the banks are more macho than in previous crisis how to solve this problem. May be they will let be more lenient before lenient because they have many other sectors with problems not only the dry cargo sectors, the tanker sector is not good. Containers is average. So they have other problems as well from other sectors. So I think they would be you know more lenient towards illness.
Fotis Giannakoulis – Morgan Stanley: I mean with regards to dry bulk operators?
Polys Hajioannou: The dry bulk operators? What do you mean by dry bulk operators?
Fotis Giannakoulis – Morgan Stanley: Do you think that there is a discussion in a market that many of the contractors were afraid means they are coming to an end and that might lead to default on charges or re-negotiations why there are re-negotiations in a market. Is it something that you share?
Polys Hajioannou: Yeah. I don’t know what will happen with people. I don’t know if some names will have problems and would not pay [inaudible] and before increases lower markets. Now, can you – this is excluded and we just have to see what happens especially for private listed private companies like operators which you don’t know their accounts and where they stand. Of course you have no clue what could happen. From our point of view and what we have our job is to be prudent and to have let’s say a strong balancing and be prepared, and of course when this happen market is so low for such a long period. As a management we are doing our job in order to protect the interest of the long term interest of the company.
Fotis Giannakoulis – Morgan Stanley: Thank you. One more question about the financing. You mentioned that the financing conditions are very tight right now. Have you had any discussions with your bank this quarter about locking credit facilities for the remaining of the new buildings? And do you see any changes in the terms that the banks are offering? Also second part of this question, have you been approached by any of the banks potentially to take some of the new buildings that they cannot be founded by weak owners?
Polys Hajioannou: Okay. Many questions again. So look, our proposal is only nine because of the summer, you know, Greece will have 40 degrees temperature. We haven’t discussed that with anybody’s requirements of final ships in 2013 or 2014. I think for September-October usually the months that things get underway and discuss such things. We have seven ships of the fleet of the new buildings without the finance. We don’t need today’s finance from those ships. Whenever we will need we will go very, we want today’s finance will go very conservatively, something like $15 million on the Panamaxes. On that also you will have to accept what the market is going to offer us. Now with that 250 or 300, I don’t know what will be the spread. But we have to [inaudible]. The plan is [inaudible] we go now, the buildings to take them in a company without having finance from seven [inaudible]. So we will talk from the second half of the year. After the holidays we will talk with some banks, we see what the offer is and we decide in 2013 what happens. Now, regarding them offering us so called distressed vessels, etc. we didn’t have any proposals and even if we have [inaudible] we will not be interested. Because as I said for us it is more important the type of vessel and to be uniform with the other ships we have. So it will be very, very difficult to find the type of vessel we want coming from [inaudible] and send it somewhere else. Usually these are 10 year old ships or 15 year old ships that the bank is taking over and most of the time the proposal is to other running older vessels.
Fotis Giannakoulis – Morgan Stanley: Just a follow-up on your comment about 250 to 300 basis points spread above LIBOR, is this safe assumption that your spread will be above the 100 to 150 basis points lower well then what the market is currently offering for other owners? We have been hearing something like LIBOR plus 400 basis points right now?
Polys Hajioannou: Yes, look 400 we are not going to consider. I don’t think that [inaudible] the market for established organization with good reputation and many years in the market. I think it’s more like 50 to 300 that banks can do. Of course this is my understanding before [inaudible] I don’t know how the situation will be after September. So, last September if you remember, we were at 200 before the summer and then after summer in September we went to 250, 260. So I don’t know what will happen with let’s say with the new season which starts in September October if the bank is there will be money no more. But definitely I don’t think that companies are paying more than 250 to 300 right now.
Fotis Giannakoulis – Morgan Stanley: Okay. Thank you for your time.
Operator: Thank you very much indeed. Now from Global Hunter, you have a question from Natasha Boyden. Please ask your question, ma’am.
Natasha Boyden – Global Hunter Securities: Thank you operator. Good morning, gentlemen. I’m just curious, two of your biggest counterparties currently having some financial institution of their own, and say struggle through this pretty terrible dry bulk market. Are you talking to all that they will continue to be – continue to maintain charter payments with your coverage on your ship?
Polys Hajioannou: Look, we have reports and even announcements by their CEO that they will downsize their operation in order to get over this period. I think that my view and the view of all trading housing in Japan that I have discussed it with them as well to see what feedback I can get out of these reports? Is that [inaudible] major shareholders is a very strong in Japan Inc. behind it with Sumitomo Metal and Sumitomo Matsui Bank Corporation and MOSK as major shareholders. And okay, these people are 120-year old company and they lost 100 million now – around 100 million last year and maybe the same for this year before they can then start making profits. So I don’t think a company as them will go down with these losses because if you see other companies in Japan like NYK, MOSK, then (indiscernible), they have losses of more than $600 million last year. It’s a different story I believe, of course everybody is considering what if happens, what happens with Sanco. We believe in the trading house in Japan also, things are the same, also Sanco case had a notion of $1.3 billion, not $100 million, it’s a company that biggest shareholder was not Japanese, was non-Japanese ship owner which has nothing to do with Japan and the other [inaudible] shareholder to other shareholders were below 2%. So when it came to the resting point, rightly so this owner say, okay, give me some ships here, I give some ships on the cheap side and then he did not support the company because simply he would have given money to support other ship owners by supporting the company. So we believe this is a different story. They changed old zone and of course he will try to reduce the cost and present a much better picture at the end of the year. So we monitor but I don’t feel uncomfortable about it.
Natasha Boyden – Global Hunter Securities: Okay great. Thank you very much for your time.
Company Representative: Thank you Natasha.
Operator: Thank you very much ma'am. And now from Merrill Lynch you have a question from Ken Hoexter. Please ask your question.
Ken Hoexter – Merrill Lynch: Great, good morning. Just if you are earning $7000 less than your cost, instead of expanding – I just want to revisit the topic of would you consider selling or scrapping those vessels and what would have occurred to get you into that phase and at least in the interim why would you not park the vessels versus the short term charter at a loss?
Polys Hajioannou: Look our vessels, our average range is around $4000 a day. So we cannot scrap those and there is no point to scrap them. I think that you will see people scrapping ships under 20 years old and this will help the market a lot. And I think that even for $7000 a day we will keep operating these four ships and make the odd million a year. I assume to be able to pay the banks and the other people. So I don’t expect to lay up any of the ships. Of course if the market goes below running expenses. If the market goes below running expenses then you consider differently but – I mean, for us in our history, 60 years in my father who was operating older ships and myself for 25 years, we haven't laid up any ship for even a single day. So I mean it’s not part of our philosophy, yeah.
Ken Hoexter – Merrill Lynch: I appreciate the insight there. So I know have as your charters.
Polys Hajioannou: Of course having said that we are playing very tough market and we are not fixing our ships with just any sort of rate. We will find that out. We are not afraid to balance our ships and fight for the [inaudible] and the vessel volatility and we are doing in-house our chartering and we spend there long hours.
Ken Hoexter – Merrill Lynch: So just to follow-up, appreciate the insight there, but if you have sort of – I guess I know you have your take okay as the structure of the charter, but can you talk about the utilization of those vessels, are you seeing I know your utilization or your offering to the charters is about 98.5% or what are they using your vessels? Are they constantly being used of are they parking some of that because there are still lack of the demand?
Polys Hajioannou: No. Modern ships and especially the people who are doing business with which are the coal carriers and grain houses of [inaudible] they are not spotting the ships anywhere. They pick the ship because they have a particular cargo. So immediately they fix it. They send here to the loading port for loading and I haven’t seen that’s happen in the container ships. You know that the charter could pick the ship for six months and he would do a couple of trips and then he will keep the ship waiting for three months. In dry cargo it doesn’t happen like that, they’ll come and fix your ship when they have a cargo, and even when we fix, we fix subject to same one etc. etc. So they go and they go from the cargo first that will be there on arrival and then they lift the subjects or the fixer. So the dry bulk spot market is operating on that basis you know.
Ken Hoexter – Merrill Lynch: So maybe – can you expand that a little bit to the industry as well. I know you’ve talked about the scrapping of vessels and what’s coming on or coming out of the market. But are you seeing others in the market start to park vessels at all. I just want to see what is the market itself doing the constraint the access and the oversupply in the market?
Polys Hajioannou: I know. If a new ship is getting $10,000 a day and on the same route an old ship could be earning $3000 or $4000 a day. So, and also is not the prepared ship by the charters. So this better may do a voyage on $3000 or $4000 a day and then here the owner may need to wait 10, 15, 20 days before he finds the next employment. So these all now of course he may have the trendy yellow ship and without any mortgage because value has written down, and he may decide not to wants to operate his ship like 250 days a year. So these things happen. With the old ships I know something are happening. They go somewhere and they wait for 20 days before they find a color. So I mean I consider but a lot of old tonnage will go to the scrap yard and some of them that they will stay around will be underutilized. Of course the Greek owners they are not so keen to scrap an asset because they know that – when they scrap that they don’t have a chance to make the last call, market recovers for whatever reason, you know. But we expect other nationalities to descraping ships on dry bulk especially on the big sizes even under 20 years old.
Ken Hoexter – Merrill Lynch: You noted your growth plans, but it seems like most companies that we talked to have that same outlook that it’s not them it’s the other guys that’s going to have to step up and start scarping and eliminating tonnage. So just to clarify what would get you not to expand just given what's going on in pricing in the markets?
Polys Hajioannou: To scrap or to expand what did you say?
Ken Hoexter – Merrill Lynch: To not expand, to not grow the free record. You noted that you are still for new build slots, whether it’s in 2013, 2014. Given the market I just want, I come back to an earlier question that was saying what gets you to not go ahead and expand just giving how weak the markets continue?
Polys Hajioannou: Because I believe Ken that new building prices will stay low for a – not for a longer times and we expect simply because even if the freight market improves let’s say next year, and the yachts they will be unable to increase their price levels very soon. So we will move into good freight market and then we will need a good [inaudible] market for the [inaudible] surprises. So there is plenty of time to place orders in 2013, 2014 and since we have an existing order for great vessels till to join the company we don’t feel the necessity to go and place more ships now. We want to see first the market to make a improvement and to make trade market moving up and hopefully sometime next year we’ll start considering 2015 or 2016.
Ken Hoexter – Merrill Lynch: Appreciate the effort. Thank you.
Polys Hajioannou: Thank you.
Operator: Thank you sir. As there are no further questions at this time, we now pass the floor back to Dr. Barmparis for closing remarks.
Loukas Barmparis: Thank you very much. It was good to discuss this quarter and we are looking forward to have a new discussion next quarter. Thank you to all and have a good day.
Operator: And with many thanks to all our speakers today that does conclude our conference. Thank you for participating. You may now disconnect. Thank you Mr. Barmparis gentlemen. Bye-bye.